Operator: Good morning, ladies and gentlemen. And welcome to the Real Matters' First Quarter 2025 Earnings Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session [Operator Instructions]. I would now like to turn the conference over to Lyne Beauregard. Please go ahead.
Lyne Beauregard: Thank you, operator. And good morning, everyone. Welcome to Real Matters’ financial results conference call for the first quarter ended December 31, 2024. With me today are Real Matters’ Chief Executive Office, Brian Lang; and Chief Financial Officer, Rodrigo Pinto. This morning before market opened, we issued a news release announcing results for the three months ended December 31, 2024. The release, accompanying slide presentation as well as financial statements and MD&A are posted in the investor section of our Web site at realmatters.com. During the call, we may make certain forward-looking statements, which reflect the current expectations of management with respect to our business and the industry in which we operate. However, there are a number of risks, uncertainties and other factors that could cause our results to differ materially from our expectations. Please see the slide entitled cautionary note regarding forward-looking information in the accompanying slide presentation for more details. You can also find additional information about these risks in the risk factors section of the company's annual information form for the year ended September 30, 2024, which is available on SEDAR plus and in the investor relations section of our Web site. As a reminder, we refer to non-GAAP measures in our slide presentation, including net revenue, net revenue margins, adjusted net income or loss, adjusted net income, loss per diluted share, adjusted EBITDA and adjusted EBITDA margins. Non-GAAP measures are described in our MD&A for the three month end of December 31, 2024 where you will also find reconciliations to the nearest IFRS accounting standards measures. With that, I'll turn the call over to Brian. Brian.
Brian Lang: Thank you, Lyne. And good morning, everyone and thank you for joining us on the call today. Our first quarter results delivered solid top line growth in all three segments and net revenue margin gains in two of our segments. We grew consolidated revenue 16% year-over-year in the first quarter and consolidated net revenue increased 12%. First quarter US appraisal revenues were up 9%. We had market share increases with two top customers. We launched one new client in two channels and we continued to perform at the top of lender scorecards. We also posted net revenue margins of 26.5%, which kept us in the range of our target operating model. Moving over to US title, we saw substantial increase in refinance origination volumes year-over-year due in part to a brief 50 basis point decrease in rates. What we witnessed in the first few weeks of the quarter when rates moved lower is indicative of the impact of relative changes in mortgage interest rates. It's a good reminder that even small changes in rates have the power to propel transaction volumes. Our refinance origination volumes were up 46% year-over-year, net revenue is up 41% and we launched three new clients in US title in the first quarter. The combination of the short term rallying rates as well as the growing pool of refinance candidates has resulted in broad pipeline movement. With recent successes, we are confident that we will have new active franchise title clients in the coming months. Our US title business is at an inflection point. And with this momentum behind us, we are confident that this is the time to amplify our efforts to capture more market share. Canada posted stellar results in the first quarter as the market benefited from an improving rate environment. We launched an appraisal with a large reverse mortgage lender in the first quarter and we received top marks for our appraisal performance on a pilot with a big five Canadian bank. Revenues for our Canadian segment were up 38% on a year-over-year basis and net revenue margins remained near all time highs at 18.9%. We also converted 90% of year-over-year incremental net revenue to adjusted EBITDA in the first quarter. With that, I'll hand it over to Rodrigo. Rodrigo?
Rodrigo Pinto: Thank you, Brian. And good morning, everyone. MBA mortgage application data for fiscal Q1 was relatively flat in purchase year-over-year, which was likely impacted by the US election and the gradual increase in rates during the quarter. 30 year mortgage rates moved up by more than 80 basis points during the first quarter. On the refinance side, application data was more positive as we saw a very short lived rate decline at the end of September and in the first week of October, most of which was captured in our fourth quarter results for US appraisal. Given that title transactions typically close several weeks after the application and appraisal order, the benefit of that short lived rate decline carried into our first quarter US title results. Turning to our segmented financial performance. I'll start with our US appraisal segment where we recorded revenues of $29.4 million, up 9% from the same period last year. Revenues from purchase mortgage originations were relatively flat and refinanced originations were up 17% in line with net market share increases with existing and new clients and slightly better market conditions. Home equity revenues were up 16% year-over-year because of solid net market share growth with our clients and home equity revenues accounted for 24% of the segments revenues in Q1. US appraisal net revenue was $7.8 million for the first quarter, up from $7.5 million in Q1 '24 and net revenue margins decreased by 140 basis points, mostly due to the distribution of transaction volumes as it relates to geographies, clients and product mix. We posted net revenue margins of 26.5% in Q1 '25, which remains with our target operating model range. First quarter US appraisal operating expenses increased by $600,000, year-over-year to $5.4 million due to non-recurring claim expenditures, higher than usual legal fees as well as salary increases and higher benefit costs. We posted US appraisal adjusted EBITDA of $2.4 million compared with $2.7 million from the first quarter of fiscal 2024 and we posted adjusted EBITDA margins of 30.9% compared with the 35.8% we posted in the first quarter last year as the increase in net revenue was offset by higher operating expenses. Turning to our US title segment. First quarter revenues increased 25% year-over-year to $2.5 million and refinance origination revenues were up 53% principally due to the net market share gains with existing and new clients and higher refinance volumes. US title net revenue was $1.4 million, up 41% from the first quarter last year and net revenue margins increased to 53.4% from 47.3% due to higher refinance origination volumes and a higher proportion of income order volumes that closed. US title operating expenses were up 22% year-over-year, primarily due to additional sales personnel to accelerate market share increases and to a lesser extent salary increases and higher benefits costs. We recorded an adjusted EBITDA loss of $1.8 million for the US title segment compared with the $1.6 million loss we recorded in the first quarter of fiscal 2024. In Canada first quarter revenues increased 38% year-over-year to $9.1 million due to higher appraisal market volumes and net market share gains with new and existing clients for appraisal and insurance inspection services. Net revenue was up 39% to $1.7 million with a 100 basis points increasing net revenue margins in the first quarter of fiscal 2025 compared to the first quarter of fiscal 2024 as we continue to leverage our platform. Canadian adjusted EBITDA was $1.1 million, up from the $700,000 in the first quarter of fiscal 2024. In total, first quarter consolidated revenue and net revenue were up 16% and 12% year-over-year to $41 million and $10.9 million respectively from increased revenues in all three segments. We recorded a consolidated adjusted EBITDA loss of $1.7 million compared with a loss of $1.1 million in the first quarter of fiscal 2024 due to a modest increase in our operating expenses. First quarter net income increased to $2.3 million from a net loss of $3.6 million in the first quarter of fiscal 2024, mainly due to unrealized FX gains. Our business is well positioned to face the current macroenvironment as further devaluation of the Canadian dollar will benefit us as most of our revenues are generated in US dollars and most of our corporate costs are incurred in Canadian dollars. Finally, we maintained a very strong balance sheet with no debt and cash of $49 million at December 31, 2024. With that, I'll turn it back over to Brian. Brian?
Brian Lang: Thanks, Rodrigo. Overall, the business performed well in the first quarter. We saw year-over-year volume growth in US appraisal, US title in Canada. We delivered leading performance on scorecards. We launched five new clients and one new channel and we grew market share. And as more volume flows through our platform, we continue to generate strong operating leverage and expand our margins and profitability in line with our target operating model. We remain optimistic about the potential for growth. As I mentioned earlier, we are at a key inflection point with new title client launches on the horizon. Pent up demand also continues to build as the pool of potential future refinance candidates increases. The pool of refinance candidates expanded by 10% in the first quarter and the inventory of mortgages being written at higher rates continues to climb daily. There are now $8.8 million outstanding mortgages with an interest rate above 6%. We have a strong balance sheet and we will continue to prudently manage our cost base to align with market conditions, ensuring we are ready to scale back up when these headwinds become tailwinds for our growth. With that operator we'd like to open it up for questions now.
Operator: [Operator Instructions] Your first question is from Stephen Machielsen from BMO Capital Markets.
Stephen Machielsen: So in the press release you call out five new clients. I'm just wondering if you could give us a bit of color on what segments they were in?
Brian Lang: So the breakout in the segments, I mean the first segment is title. And so in that segment, I think a really strong quarter and help sort of prove out the investments that we've made around sales and title. So we had three new customers join in title. One of those was a Tier 1, there was a Tier 2 or a top 25 and a third. So that's on the title front. As you know, big build for us from a franchise standpoint in bringing those types of customers onto our title platform, it builds on the momentum that we started seeing last quarter where we brought on another top '25 and with some of the RFPs, Stephen in the pipe, we've got another couple of top 25s that we're looking at bringing on the platform in the next couple of quarters. So for us anyways, a really strong title new client quarter. We also brought on one of the biggest reverse mortgage lenders in Canada. We brought them on the platform this quarter, as well as bringing on a new customer in two different channels in title -- in appraisal.
Stephen Machielsen: So with the mortgage rate whiplash that we saw in Q4. Has that -- have you seen any impacts on, I guess, the speed with which customers are going through their RFPs? I mean, are some pulling back a bit now or have you seen -- just some color on the changes that you've seen?
Brian Lang: So I would say not. I mean, I think with what happened in September, October last year with rates coming down, I think that definitely puts some momentum behind RFPs. So we talked a little bit about that last quarter. And so I think from our standpoint anyways what we're seeing is we're actually able to close some of those RFPs. So that's I think the positive for us that they're definitely moving, number one, and that we're able to close. So as I said, over the last couple of quarters, we've now closed three top 20 players, one of them being a Tier 1 and we see more or less that opportunity upcoming in the next few quarters. So I think Stephen, good news, the sales for us anyways, the sales pipeline has definitely opened up and we're definitely seeing some good activity as well as some good results.
Stephen Machielsen: And final question now, there were some restructuring expenses in the quarter. Can you give us some color on how that'll impact either OpEx or net revenue margin run rate going forward?
Brian Lang: I'll pass that one over to Rodrigo.
Rodrigo Pinto: Stephen, no impact. As the nature of restructuring, those are things that we do from time to time within our business but it should have no future impact in OpEx or net revenue margins or any other area of the P&L.
Stephen Machielsen: So no savings to come from it?
Rodrigo Pinto: So the savings, no. No real savings coming from that restructuring adjustment that we made during the quarter.
Operator: Your next question is from Gavin Fairweather from Cormark Securities.
Gavin Fairweather: Maybe just discuss kind of the state of the nation in terms of how they're conducting their title and closing activities today, and then maybe you can also discuss kind of what kind of ramp and share your, your planning for with that new franchise client?
Brian Lang: So this Tier 1 that we're bringing on is right now the biggest bank lender in the US. So we've got quite a bit of enthusiasm to bring that on with the current tier one that we've got on the platform. And so we've been given very clear direction on what our market share should look like as we start building and ramping the business up. The goal for both ourselves and the customer is to get us to our market share by the end of the year. So in the past we've talked around ramping up Tier 1s on our platform that usually in the first year we look at trying to get the market share up to 5% to 10%. In this particular case, the market share that we've been awarded is greater than 10%. And I would definitely suggest that both our team and our customer team are working very hard to get us to that market share that we won with them in the next three to four months. So our goal would be to have that ramped up. And the impact then on the business of that Gavin, is that that would really double our current title revenue, volume and revenue. So that's the goal that the team's working on for the next couple of quarters. We also then have, as I mentioned, a couple of top 25s coming on the platform so that will sort of roll out. And again, I think it's sort of by the end of the year we should start seeing that benefit. We will definitely have, I think, ourselves set up incredibly well for 2026. And as I mentioned, we've got some in the pipeline that we think we'll close before the end of the year. So 2025, we should see some of that impact by the end of the year. The run rate should be double what we see today and it's setting us up incredibly well I think for 2026.
Gavin Fairweather: Maybe one just -- just one follow up on that. When you think about them being one of the bigger lenders in the US, I mean, how active are they on the refinance side versus the purchase side? I mean, how does their volume skew, maybe not in this market but in a normal market, what kind of appetite do they have for refi?
Brian Lang: I'd say they're pretty balanced. I think they're very similar to most of the other Tier 1 banks, anyways Gavin. So I don't think there's really a lean one way or another there. They're -- they've been consistently good at both purchase and refi so I assume that's what we'll see as we start rolling it out.
Gavin Fairweather: And then lastly for me, maybe for Rodrigo in terms of the US appraisal net revenue margins, I mean, you called out a few different factors in terms of geo mix, client mix and product mix. Maybe we can just dig into that a little bit and let us know whether you see any kind of rebound going forward towards the mid or higher end of your rates on US appraisal net revenue margins?
Rodrigo Pinto: As you already said, right, net revenue margins will fluctuate based on the distribution of transactions. Our view is that we'll continue to see strong net revenue margins in fiscal 2025 and to a state we see in our target operating model range, right? Yes, you're going to see ups and downs but we still believe like between the 26%, 28% is where we'll land in the future.
Operator: Your next question is from Martin Toner from ATB Capital Markets.
Eric Livshits: This is Eric Livshits in for Martin Toner. So on the Tier 1 lender front, just wondering whether you have any additional Tier 1s in the pipeline and whether you expect any additional Tier 1 wins in the coming quarters?
Brian Lang: I know you're referring to title. And so everything going smoothly that will have two Tier 1s on the platform as I say hopefully receiving orders the end of this quarter, start of next quarter. And there's another Tier 1 RFP that is in market, which we are diligently working on. And our view is that that should come to fruition in the following couple of quarters. It's a little bit smaller than the two that we have on the platform today but it is a Tier 1, so we're working diligently towards that. And as I mentioned, there's a couple of other top 25 RFPs, what we would historically call Tier 2s that are -- we're also working on. So that's the grouping. The end result of course would be that we'd be having quite a few more top 25s as we get to the end of the year and into 2026.
Operator: Your next question is from Robert Young from Canaccord.
Robert Young: You gave us some indication in the past on capacity. I think you had quite a bit of idle capacity in title. And so if you're ramping up something, it'll double volume. Maybe you'd just revisit where you think capacity is today and where it goes, when do you have to start reinvesting there? Ad I'll have a couple more questions.
Brian Lang: So yes, again, as we said before, we believe we have 3 to 4 times capacity in our title segment and 30% in appraisal. Specific for title again, doubling the volumes wouldn't reach the capacity we have in the system right now. So we don't expect to make investments to increase capacity at this point. Again, what it does, Rob, it's basically creates -- it shows the operating leverage that we have in the business where we don't need to increase costs at this point based on what we know the volumes we expect from a new client.
Rodrigo Pinto: And you saw that Rob a little bit in first quarter. I mean, we don't talk a lot about Canada but just because Canada did have good growth in the quarter, you saw that we were up 38% in order volume. And again, incremental net revenue 90% of that is falling to the adjusted EBITDA line. So our assumption is you're going to see dynamics like that in the business when volume starts moving up.
Robert Young: And just to push a little bit deeper on that, I know that when you win these Tier 1s, they're nationwide and so you have to have capacity idle to serve a nationwide level of demand. And so is that the case right out the gate or is the market share allocation regional? Or is there anything that would suggest that you can manage your capacity in a more reasonable way or could you find yourself in a situation where you've added Tier 1, you got a second one RFP? Is there a situation where you might have to revisit all of this?
Brian Lang: No. I mean, Rob, the deal is when we've got a national player Tier 1 like we have right now, the capacity that you have is so you can cover all of the territory, right, nationwide to make sure you can cover all their needs. So the idle capacity sort of sits in that, it's not regional, it's not -- there's no real nuance there. And the new volume that we're going to be taking on very clearly is national. So we're only one of a few national players that they've selected. And so we know that that's what we're going to be delivering is a very national as opposed to some of the regional players. So our view is it's going to be very similar to the format and layout that we've got now with the usual little nuances by quarter. But we've got the capacity. We don't expect to increase it and we should see a decent amount of operating leverage coming into the business once we start seeing these orders.
Robert Young: And then the market share allocation with this new Tier 1, give us a sense of the way this is allocated across multiple players. I'm just uncertain on the way that an RFP runs. Is that suddenly that there's five new players sharing incremental allocation of share and then you're fighting on a balanced scorecard to take an unfair share, or maybe just give a sense of like how many other players there are that are allocated in the same process, just to get a sense of that?
Brian Lang: This is -- I don't want to say it's a clean slate, Rob but it's actually somewhat close to that. So previously they had a few vendors, a few of our competitors that were providing the service for them. Two of them are no longer going to be on the platform, so they've been removed from the platform. And the one that had the largest share with them has become a much smaller player, a much more -- much smaller player. So they have now introduced a handful of new vendors onto the platform. We've all been given the percentage that we are going to be getting. And so they're going to ramp, they're going to make that sort of evolutionary change. They would like to make it quite quickly. And it's not surprising since I just let you know a couple of the vendors have now been released off the platform and the one with the largest share that's the share that's going to start flowing to the other new vendors. So they want to do that frankly, as quickly as appropriate, they're a big bank. So as you know, they take a little bit of time. But that's why I would say that we are confident that they have made it clear to us they would like us to have our share ramped up to the percentage that they've given us by the end of this year. And as I said Rob earlier, I mean, we usually target to get that five to 10% in the first year. We've been allocated more than that 10% share and that's what they're driving to is to get us to full allocation by the end of the year, that's what drives the doubling of our overall title business.
Robert Young: And then just last question, I know this is a hard one to answer probably, but all of the US administration changes hearing a lot about, just the regulations and regulatory relief on the banks. Maybe give us a summary of what you see so far and as much as you can help us understand how things might or might not change that would be helpful, and I'll pass the line.
Brian Lang: I mean, I think we're slightly cautious about making too much of a comment around that right now, Rob. I would say that less regulation at least for the banks will probably make them slightly more aggressive. And so knowing that that's who we do our big business with, I think there could be a tailwind somewhere in all of that. But as you know, we're going to have to see how rates flow. You saw the movement yesterday. We won't comment on what sort of went on there politically, that all has to find its way through the system. So we're going to keep running the business, setting it up for the long term franchise of this organization. You've seen in the appraisal numbers, you've seen hopefully, really solid delivery, continued solid delivery, good management of the business. And on title, we really think, as I mentioned in my commentary that we are at an inflection point as far as getting momentum, getting new customers and RFPs actually closed and starting to see some new orders. So that's really the focus for us as you know, Rob. And we will be very agile to what ends up going on from a more -- either political or regulatory standpoint.
Operator: Your next question is from Dan Chan from TD Securities.
Unidentified Analyst: This is Jonathan on for Dan Chen. Just want to get a better sense of the title bump you guys got from the rate cuts in September and October. Can you give us some sense of how much of the volumes you did during the quarter were related to that month?
Brian Lang: We’re related to -- so the way Jonathan, this works in the business for us is when there's an application that comes in and when that application comes in on the title side, there's work to be done but we don't see our revenue until it closes, which is very similar to the lenders by the way. So that is usually, call it, six plus weeks after the actual application is when we start seeing the revenue. So we saw a good chunk of that revenue as we commented on in the quarter. And so we would've seen that in, call it, October, November. Unfortunately, the rates then went back up after that first week of October and so the volume would've quieted down in the second half of the quarter. So that's sort of the flow of how we see stuff. And so that's where, as I say, you saw the 46% growth, a good chunk of that was earlier in the quarter as opposed to later in the quarter.
Unidentified Analyst: And then just one more from me. I kind of want to dig deeper into the EBITDA margin side on title. It was pretty consistent quarter-over-quarter. Just wondering how we should be thinking about it for the next quarter, maybe for the rest of the year.
Rodrigo Pinto: So Jonathan, again, as we discussed before, we need increasing volumes to improve those margins, right, to dilute fixed costs and other things that you see in OpEx. Again, as volumes starts to go up, you should expect that margin to improve. And again, it depends on the market. Again, we are onboarding in Tier 1, we will get volumes there. So as soon as you see those volumes going up, adjusted EBITDA margins will improve. And the goal is to get to our target operating model as we pointed out.
Operator: Your next question is from Richard Tse from National Bank Financial.
Richard Tse: I was just wondering if you can maybe provide some comments with respect to the competitive landscape. I guess, probably more so on appraisal but curious on tile as well. And just thinking about from the perspective that these volumes are eventually going to turn. And so, it seems to me that you're sort of better relatively positioned than before. I think there's some players that have left the market but you haven't sort of talked about that much recently. But just wanted to get your perspective in terms of the competitive landscape here.
Brian Lang: So on the appraisal side, some of the changes in the competitive landscape sort of has have taken place over the last couple of years. So we would've talked last year about CoreLogic exiting the business and this past year we talked about a company called Valuation Connect, which is under Mortgage Connect. They exited the business or at least were sold off, the business was sold off. So there hasn't really been that much further changes I would say, from that standpoint, on appraisal, we continue to be the biggest player in the US. And so -- and I think we're positioned very well from a market share standpoint to continue to grow our market share. So I think that's the input I would give around that. There has been not so much a change in title. We did mention that one of the competitors in the title space exited this past year a couple of quarters back, which was a company called Doma. So they were competing in a couple of the Tier 1s, they have now, frankly -- again, their business was sold off but they have somewhat exited the servicing side of the title business. And also, I mean, I think the big competitive piece for us this past quarter was more once we were able to see who the finalists that have been selected for the Tier 1 are and to see a couple of the players that frankly we assumed would continue to service this Tier 1, big competitors of ours that were taken off of their vendor list and replaced with ourselves and some regional players, I think that was for us a -- it was a big kudos, we're going to take some kudos for that that I think shows that we're positioned very well to continue winning title business.
Richard Tse: And then just from like a win standpoint, like is the value proposition on the title side similar to appraisals in terms around what you offer relative to those competitors?
Brian LangA - Brian Lang: So again, it's back to the network impact and capabilities of our platform that we've got. And so a title that's all about closing, the whole closing experience for the consumer. And so again, what I turn to is the current Tier 1 that we've got and our scorecard that we've got with them. We continue to be number one on their scorecard and that's because we're delivering a better sort of end consumer experience. But especially around that, that closing experience, it's something that we can distance ourselves from our competition on, again, just because of the platform and the way we've built out the business. So that's very similar to the appraisal network effect that we have on pushing all of our work out to the network and getting them to perform better than any of our competitors.
Richard Tse: And just a last question, sort of on competition too, not for your yourselves but your customers and your MD&A. I think you make a reference here to some of your customers losing share in the market. Just wondering if you can maybe elaborate on that for us as well.
Brian Lang: I mean, so we've talked a little bit about this in the past and what we sort of referenced as a turning point, you're exactly right that our -- some of our Tier 1s have definitely lost share over the last year. What we look to is, number one, we look at the loan production, revenue and costs that MBA put out every year. And so what we experienced, what the Tier 1s experienced through two years was that their loan production revenue costs were higher than their -- their loan production costs were higher than their revenues. So frankly, they were actually losing money on every new mortgage that they were taking on their books. So that has changed now, the last two quarters that has moved into positive territory, which therefore, of course, for those big banks, makes it an option then for them to start reinvesting in as opposed to focusing on other lines of business, credit cards, investment banking, other parts of the institution. They're definitely now drawing their attention back, and our view is and they've reiterated with us that they're focusing back on the mortgage space. So that's sort of the big piece. And so right now they have been challenged from a market share standpoint. But our view is that over the upcoming quarters and years we're going to see them start stepping back into the market. We had one small view on this in September, October when the rates did go down, we saw some of the biggest Tier 1 lenders in the US stepping competitively into that space with the lowest rates during that time, which kind of reiterates that they're back to loan production revenue positive space where they can make money. And so that's our view. Again, they've reiterated that with us. So I think we should see that turn over the upcoming quarters and we should see them start gaining back some of that share they've lost.
Richard Tse: Who are those money losing mortgages going to when it comes to share?
Brian Lang: Well, listen, I think the big -- what happens in a market like we've just gone through is the non-banks step in, because you have to remember that non-banks this is their business, mortgage is their business. These big bank lenders they've got multiple business lines that they can pull on. Everything, as I mentioned from credit cards to lines of credit to all those other products, the non-banks this is what they focus on. So it's not surprising to us that our customers have given up a bit of share through this time. It gets very price competitive and a lot of the non-banks step in. So I mean, good news for us, our overall portfolio is in reasonable shape. We've got a 50/50 type portfolio non-bank to bank, but definitely non-banks would've stepped in more here at unfortunately the benefit to the non-banks but the loss to the Tier 1s.
Operator: Your next question is from Steven Li from Raymond James.
Steven Li: Brian, the competitive dynamics you just described on this new Tier 1, and I understand there's usually a ramp at the beginning, so it's going to take a few quarters. But that steady state with this new Tier 1, would you fully expect to have a higher market share compared to what you have with your current Tier 1?
Brian Lang: If I can, Steven, can I go at that slightly different, slightly different angle in that the Tier 1 that we are onboarding is quite a bit bigger than the Tier 1 that we've currently got. So they are doing quite a bit more overall volume in the market. They have more market share than our current Tier 1. So our market shares are somewhat similar to the target that we've got with the new one and where we are with the existing one. I think that's less relevant because one is quite a bit bigger. So that's why when we say, Steven, our view is that by the end of this year when we get to our market share target with our new Tier 1, our view is that volume will be equal, if not bigger, to the Tier 1 that we've currently got on the platform, which will double our -- more or less double our Tier 1 business with the help of a couple of these other top 25 players that are joining the platform.
Operator: There are no further questions at this time. The question-and-answers session is now closed. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect your lines.